Takahito Tokita: Thank you for this opportunity. I would like to give you an FY 2023 Second Quarter Consolidated Financial Results Overview. Please turn to Page 3. This is the financial highlights for the first half of fiscal 2023. The most important segment is Service Solutions where revenue was ¥984.1 billion. Excluding the impact of divestiture of PFU, this was a strong increase of 13.6% from the prior year. Primarily, for business in Japan, results were driven by strong demand for DX and modernization, and there was also a strong rise in orders.  Adjusted operating profit was ¥63.4 billion, a solid rise of ¥44.4 billion year-on-year. Because of the positive impact of higher revenue and progress as planned in improving profitability such as from the transformation in the delivery of services. On the other hand, with continued lower demand in device solutions since the second half of last fiscal year, revenue on a consolidated basis was ¥ 1,711,800 million an increase of only 2.7% excluding restructuring. Adjusted operating profit was ¥50.7 billion, a decrease of ¥24 billion year-on-year. Page 4 shows an overview of the financial results for each business segment. I will discuss the results of each segment starting with the next slide. And on this slide, you can see an overview of the segments. At the very top is Service Solutions, our growth driver gaining further momentum from Q1 revenue and Q2 also expanded significantly? PFU was included in the consolidated results until the first half of the previous fiscal year, but excluding the impact of restructuring, total revenue the first half increased by ¥117.6 billion. On the other hand, hardware solutions, which includes network products and device solutions, which if both performed well in the prior year, had lower revenue and profit. In intersegment, eliminations and corporate, we are pursuing a plan of increasing investments to achieve growth over the medium to long-term. Slide 5 and on results for each segment. Page 6, Service Solutions. Revenue for the first half was ¥984.1 billion, which on a continuing operations basis, represents an increase of 13.6% year-on-year. For customers both inside and outside of Japan. There was an acceleration in DX initiative and initiative to resolve societal issues such as climate change. As a result, there was a greater demand for consulting services, modernization projects and cloud migration support. Fujitsu Uvance was able to take advantage of this robust demand with a 63% increase in revenue. Adjusted operating profit was ¥63.4 billion, up ¥44.4 billion year-on-year. Although we increased growth investments related to Fujitsu Uvance, because of the impact of strongly higher revenue and measures to improve profitability. Operating profit rose significantly. I will explain the components of this increase in profits with the waterfall chart later on. Since the breakdown of results by quarter. The red line graph shows revenue growth. The blue bar is adjusted operating profit. Revenue rose by 10% in Q1 and in Q2, even higher by 17%. For adjusted operating profit as well. The scale of the increase in profit rose from Q1 to Q2 with an adjusted OP margin up 8.2% in Q2. There was also a large increase in adjusted operating profit year-on-year in the first half.  Page 8. This chart shows the factors that caused increases or decreases in the first half adjusted OP in Service Solutions compared to the prior year. On the far left, adjusted OP for the first half of fiscal 2022, ¥19 billion. I will use this as the starting point to explain. The first is positive impact of ¥37.4 billion in part because of a solid increase in revenue in Fujitsu Uvance, total services solutions revenue also rose 13.6%. Second, an increase of ¥19.3 billion from improved profitability. We continue to make progress and expanded use of Global Delivery Centuries and standardization in development work and other initiatives to improve productivity. The impact of higher employee costs was covered by profitability improvements entirely or in whole. Third is a decline of ¥12.3 billion from higher expenses, primarily investments in growth areas. We actively made investments in areas that directly promote business growth such as development of future events offerings and investments in employee training and development and enhanced security.  Adding these up, adjusted operating profit for Service Solutions for the first half of fiscal 2023 was ¥63.4 billion. As you can see in the far-right corner.  Page 9. I will now provide supplemental information on each of factors in the previous waterfall chart. This is the status of orders in the first half of fiscal 2023 which led to the increase in revenue. This page shows orders in Japan. Domestic orders increased continuously during the first and second quarters, resulting in an 18% increase over the first half over the prior year. In every industry segment, we achieved double-digit growth in the first half. I will now comment on each industry segment. In the Private Enterprise business segment, orders were up 11% year-on-year. Momentum for growth in Q2 exceeded that of Q1. Primarily for modernization projects, growth was driven by customers in the Manufacturing and Mobility sectors. In the finance business segment, orders were up 23%. In addition to deals to upgrade mission critical systems for MegaBank and Insurance Institutions, we also won modernization project deals, resulting in a significant increase year-on-year. In Public and Healthcare segment, orders were up 27%. We won multiple modernization deals for upgraded systems for government agencies among customers in the healthcare industry as well. We are seeing a revival investments in electronic medical record systems and healthcare information systems. Below that is mission critical, orders were up 12%. Orders benefited from a project including a systems integration project in the National Security field. In our business in Japan, because of strong demand that has continued from Q1, order backlog is increasing and that will lead to higher revenue in the second half.  Page 10 shows orders in regions, international. Trends in orders differed by region. Orders for Europe declined by 27%, reflecting a pullback from the large-scale public sector deals we won in the prior year. Orders in the Americas increased by 81% as we won multiple private sector business application deals in North America. This is a big rise over the prior year.  Orders for Asia Pacific were down by 1%. Despite a slight pullback from the large-scale public-sector deals in the prior year, overall demand was solid. Page 11 shows the progress of Fujitsu Uvance, which we are positioning as the most vital area for the growth of our business and the transformation of our business portfolio. Fujitsu Uvance consist of a total of -- vertical areas which are cost industry areas that solve societal issues and horizontal areas which are technical performance that support the vertical areas. There are a total of 7. Overall, revenue in the first half increased by 63% year-on-year to ¥153.7 billion. This is a pace that may enable us to exceed our Fujitsu Uvance full year revenue target of ¥300 billion. in the first half of the last fiscal year, Fujitsu Uvance accounted for 10% of total Services Solutions revenue, but that increased to 16% in the first half of this fiscal year. In supplementary materials, we include information on the status of orders, which are extremely positive, up 70% in the first half compared to the prior year. In the second half, primarily in the vertical areas, we will launch multiple offerings that enable customers to achieve FX sustainability transformation. In addition, in the horizontal areas in continuation from Q1, for what we call the three business applications consisting primarily of SAP, ServiceNow and Salesforce, there is still high demand. We are clearly growing our of Fujitsu Uvance business, which is the key to our growth in our medium-term management plan. Page 12, I will now comment on profitability improvements and the status of growth investments. Profitability increased by ¥19.3 billion and gross margin improved by 1.3 percentage points year-on-year. Through the Japan Global Gateway, JGG and Global Delivery centers, we are making steady progress in the standardization of development work, automation, expansion of in-house work and use of offshoring. The usage ratio of JGG has increased from 30% in fiscal 2022 to 34% in the first half fiscal 2023. On the right-hand side, growth investments and expenses increased by ¥12.3 billion increase in expense. Including development of Fujitsu Uvance offerings, investment needed to develop with specialist talent and investment to strengthen our security, we continue to proactively invest in areas directly related to business growth. This concludes my supplemental explanation of the increases and decreases in profit outlined in the chart on Page 8.
Unidentified Company Representative: From Page 13, I will briefly touch on the status of each sub segment in service solutions. First go with Global Solutions. Revenue was ¥217.7 billion, up 18.2% from the prior year. On an adjusted basis, the sub segment posted an operating loss of ¥2.6 billion, but it is an improvement of ¥10.8, compared to the loss in the prior year. Fujitsu Uvance experienced faster than anticipated growth and large-scale sales of software supporting modernization also drove revenue growth. We are currently in a phase of making aggressive growth investments. But in addition to the impact of higher revenue, profitability is also steadily improving which resulted in a large decline in losses. In regions Japan, revenue from continuing operation was ¥571.1 billion, up 11.9% from the previous year. The adjusted operating profit was ¥72.2 billion, an increase of ¥36.5 billion and, roughly two times the level of previous fiscal year. The number of DX business deals and upgrades of mission critical systems is increasing in wide range of sectors, primarily in the public and healthcare sectors. In addition to the impact of higher revenue, we made steady progress in improving profitability. In regions international, operating profit was ¥288.4 billion, up 9.4% against the backdrop of foreign exchange movements. On an adjusted basis, the sub segment posted an operating loss of ¥6.2 billion, a deterioration of ¥2.8 billion from the previous year. In terms of profitability, the conditions that continue to be difficult primarily in Europe.  Page 14. I will first comment on hardware solutions on the upper portion. Revenue for the first half of fiscal 2023 was ¥477.5 billion, a decrease of 3.7% from the prior fiscal year. The adjusted operating profit was ¥17.4 billion down ¥3.5 billion from the prior year. In system products, the impact of higher component procurement costs came from the previous fiscal year was resolved, and along with the upgrade projects for our customers' mission critical systems, there was also higher demand for server and storage systems.  On the other hand, in network products, there was a large pullback from the strong demand of the previous fiscal year in both Japan and North America, resulting in drop in revenue. For this fiscal year's network products, in the midst of a decrease in sales due to large scale demand cycle, we are expanding our development investments for the next growth cycle, including our investments to achieve high speed, high capacity, low latency and low energy consumption networks.  On the bottom of the slide, you see ubiquitous solutions. Revenue was ¥130.7 billion down 1.8% from the prior year. The adjusted operating profit was ¥9 billion up ¥4.6 billion from the previous fiscal year. With regard to the higher component costs, including the impact of the 4x movements, we are advancing efforts to cut costs and pass on higher cost to sales prices, and we are steadily increasing our resilience to changes in the external environment.  Page 15. I will now comment on device solutions. Revenue was ¥142.6 billion which was 31.3%. It was a significant decrease from previous fiscal year. The adjusted operating profit was ¥9.3 billion down ¥41.8 billion from the previous fiscal year. The demand for semiconductor packaging, which had been strong through the first half of the prior fiscal year, significantly decreased in the second half of the prior fiscal year. There was a no recovery in the first half of this fiscal year and trend has continued in the first half of this year. In addition, factory operation also declined due to the reduction in volume. As a result, OP decreased significantly. We anticipate modest recovery at the end of this fiscal year, but the segment had a rough first half. On the bottom of the slide, you can see intersegment elimination and corporate. This segment posted an operating loss of ¥48.5 billion with a ¥27.6 billion increase in expenses year-on-year. We continue to expand our investments in medium to long-term business growth, including enhancing advanced research in cutting edge areas such as AI, quantum computing and energy saving processors and promoting the one Fujitsu program for enhancing our management of foundation. On Page 16, you see the status of cash flows. Core account free cash flow which excludes one off item was ¥91.1 billion up ¥27.4 billion from the previous year, primarily due to greater working capital efficiencies. At the bottom of the page, you can see the free cash flow which was ¥34.6 billion.  During the first half of fiscal 2023, Fujitsu purchased GK Software, a German software company for the retailing industry to enhance Fujitsu Uvance offerings. As a result of cash out relating to the company's acquisition, other factors, free cash flow was down ¥12.6 billion from the prior fiscal year. Page 17 shows the status of our assets, liabilities and equity. I will omit an explanation of these figures.  This concludes our financial results for the first half. There is not a slide for this, but I would like to share additional information about the status of our forecast for fiscal 2023. Service solutions is progressing in line with our forecast. Orders and pipeline of projected orders for this segment continued from the first quarter be strong in the second quarter, primarily in Japan and Americas which matched our forecast. Against this backdrop, our analysis shows that we can expect orders to firmly expand from the second half of the fiscal year onward.  By steadily releasing Fujitsu Uvance's offerings and making progress on transforming our delivery of services through simple hard work. We believe we can expand as we planned both the volume and profitability of our business in Service Solutions, which is our growth driver. On the other hand, in Device Solutions, although we expected demand would be sluggish, it is taking longer than we originally anticipated for customers to adjust their inventory, so our sales volume did not meet our forecast. This resulted in the segment's base operating profit to fall short of our cast by several billions of yen. Starting from the next page, I will discuss our full year financial forecast. Page 19. This is our financial forecast for fiscal 2023. As I previously mentioned when planning our financial results for the first half. We anticipate that a full-scale recovery in demand of device solutions will be delayed until next fiscal year, and this change had been reflected in our financial forecast.  As a result, on a consolidated basis, we are projecting revenue of ¥3.810 trillion with an adjusted operating profit of ¥320 billion and adjusted profit for the year of ¥208 billion. Compared to our previous forecast, the new forecast for revenue had been revised downward to ¥50 billion with the adjusted operating profit to ¥20 billion and adjusted profit for the year, revised downward by ¥10 billion. Page 20 is our financial forecast for fiscal year 2023 by segment. Service Solutions has experienced very strong growth during the first half, and we believe that we can achieve high range target that we have set. Our projections for hardware solutions and ubiquitous solutions at the same time as our previous forecast. The only revision was in the Device Solutions. On Page 21, we've read now our forecast for the first and second half of fiscal year '23 by segment. As I will touch upon Service Solutions. The segment posted an adjusted operating profit for first half of the fiscal '23 of ¥63.4 billion, up ¥44 billion year-on-year. For the second half of this year, we anticipate an adjusted operating profit of ¥109.15 billion, up ¥47.5 billion year-on-year. Although the trend of operating profit being concentrated in the second half of the year remains unchanged, the progress made in the first half was slightly better than the previous year. Also, we anticipate that the increase of the OP for the second half will be on par with the increased in the first half. Page 22 or free cash flow. It reflects the downward revision to operating profit for device solutions. This concludes our financial forecast for fiscal 2023. In the first half of fiscal 2023, although we saw delay in the recovery of demand for Device Solutions, Service Solutions, our main driver of growth made very strong progress in revenue and adjusted operating profit. There is some uncertainty in macroeconomic environment. So, it is impossible to make predictions, but we will work to achieve solid results for growth as we build up our current backlog of orders and maintain our current momentum against the backdrop of making progress and profitability improvements. This concludes my presentation.
End of Q&A: